Wael Sawan: Thank you for joining us today. We hope that after watching this presentation, you've seen we delivered strong results in the quarter and how we are well-positioned to remain resilient throughout the cycle. Let me start with a few updates. As you might have seen already, Mero-3 in Brazil has started up and we have just completed the divestment of Shell Pakistan, another important step in high grading our existing world-class portfolio. Today Sinead and I will be answering your questions and now please could we have just one or two questions each so that everyone has the opportunity. And with that could we have the first one please, Luke?
Operator: Our first caller is Josh Stone from UBS.
Josh Stone: Hey good afternoon, thanks for having me on. Two questions please. First in your prepared remarks you talked about Shell playing to its strengths through the energy transition and as I sort of listen to that and reread it, I just want to sort of unpick what that really means because on one hand I could interpret that as a business which is going to keep investing on low carbon assets where it sees it has some natural advantages. But on the other I could also interpret that as Shell's going to stick to doing what it does best. If I look at these results that would be integrated gas, upstream, a more profitable mobility business. So can you just clarify where do you see Shell's strengths today and what that really means. And then secondly on the cash flow, impressive result this quarter cash flow growth when in a declining commodity environment particularly versus the peer group. If I look over history, fourth quarter normally is when there's a weak cash flow performance in the year sort of the way costs are accrued. Is there any reason to think this time might be different just in the light of this sort of cost savings you're seeing inside the business? Thank you.
Wael Sawan: Josh thank you for two good questions to start off with. I'll take the first one and then ask Sinead to cover the second one. On your first question, if I start maybe with just the beliefs that we have as a company, we fundamentally believe that this energy transition is going to be a multi-decadal journey. We fundamentally believe that you're going to require multiple energy forms to be able to navigate the energy transition and we do see that the energy system will start to see more uncertainty and more volatility in the context of geopolitical changes, demand supply cycles and the like, of course the intermittency of renewables as well. And so we want to position ourselves for that set of beliefs. What does that mean? It plays much more to the latter interpretation that you had. We start from the perspective of believing that oil and gas have a critical role in the energy transition for a long time to come. I'd say gas in our view is a foundational part of the future of the energy complex for at least the next few decades. And so our leading advantage in LNG is one we want to continue to hone over the coming years and you've seen the suite of announcements that we have had to be able to do that. In addition we continue to believe in the important role that low carbon, low carbon intensity oil have and so we are very focused on how we can continue to be able to maintain our liquids production through the coming years to be able to make sure that we can deliver that crude either to our own infrastructure or for that matter to third parties to deliver to the customers. And then I'd say some of the real strength we have are our customers understanding what they need to take the marine sector understanding how that sector is evolving to be able to allow us to meet the growing demand more and more moving into LNG with time into bio LNG and possibly one day into alternative ELNG or for that matter synthetic LNG. I would also say that our trading capability is second to none. And so in a world where you require multiple energy forms and you need companies to stitch them across the entire value chain I think we are uniquely positioned. So we are playing to those competitive strengths that allow us to win in that future that I described. Sinead?
Sinead Gorman: Thank you and thank you, Josh. So indeed your question is really around the cash flow and thank you for pointing out very strong cash flow for this quarter as you're aware. But in terms of Q4 you're talking about whether or not you expect to see particularly on OpEx, different uplifts coming through. What I would say is what we're doing as part of the cultural change in Shell is to make sure that we're building a company which is very much focused around consistency and resilience. So of course that means that whatever happens we would be able to weather it. What we're doing on OpEx is driving that consistency throughout and you're seeing some of the costs take us and I'm sure we will get to that later. In terms of the free cash flow for the fourth quarter a number of things will occur. Of course we have Pearl GTL down with a major turnaround which will be hundreds of millions of impact in that quarter. We also of course have normal tax phasing that happens in Q4 and things like the German mineral oil tax that gets paid out. So there's usuals that occur in the fourth quarter. I think OpEx we have very much on top of and focusing on throughout the organization. But all of those things do they worry me? No. You know exactly where we are in terms of the resilience of this company and the balance sheet which I'm sure we will spend a lot of time talking about today. So thank you.
Wael Sawan: Thank you for that Sinead. Josh thank you for the question. Luke can we have the second question please.
Operator: Our next caller is Ryan Todd from Piper Sandler.
Ryan Todd: Great. Thanks. Maybe a couple questions for me. First on the capital side, really impressive performance on driving capital costs down this year with '24 likely to come in below the low end of the range. Can you maybe walk through what are some of the biggest drivers of lower capital budget this year? And as we look into 2025 how we should think about what this implies for 2025 CapEx and whether we might see it fall further? For the second question I think you've done a great job in the two-year sprint kind of turning things around particularly in terms of capital allocation driving down costs. Some of which has been doing for lack of a better word, less bad stuff or maybe returns the lose of stuff with your money. As we look towards the coming years I would think there's the outlook will shift towards the focus on where you can invest to actively drive margin growth and improvement. With that in mind can you maybe talk a little bit about what you view as your portfolio of investment opportunities where you feel like you're particularly well-positioned and maybe where you might be able to strengthen further the queue of investment opportunities particularly on the upstream side?
Wael Sawan: Super thanks Ryan. I'll touch on those and then invite you Nate if you want to add as well. Let me start with capital allocation. Where we see real strength at the moment is our ability to create incremental value from in particular our LNG complex. You've seen us lean into that for example with the pavilion acquisition just recently allowing us to access another 6.5 million tons. We see that continuing to be a strength, and you see us whether it's through waste LNG, LNG Canada coming forward, the Qatar LNG projects, Nigeria, we will continue to lean into that space. On upstream we have an established strength in our deep water business and in particular in the basins in which we are playing. You see that capital coming through in areas like the Gulf of Mexico. We've just taken a fine investment decision on the second phase of the veto project. We have also of course our Brazilian assets where again we took an FID recently on Atapu 2 and I mentioned earlier the Mero-3 startup. Expect more in the deep water space as we continue to mature the funnel of opportunities we had and we've talked about 500,000 barrels per day that we wanted to bring to fruition in this first sprint. We updated you last quarter to say we're just halfway through that, so a lot more to come there. We are also being selective in investing in growth in our marketing businesses not typically capital intensive. But you're right we are indeed just becoming much better, much more efficient in the way we generate value. So to give you a sense, take our marketing business for this quarter. The past three quarters year to-date at roughly the same average crude price that it was for the first three quarters of last year, we have incrementally generated 20% more earnings. That's just doing our work better and of course that inherently allows us the opportunity to see more value to for example bolt on additional opportunities, but we need to earn the right to do that. We need to continue to hold ourselves to a high bar when it comes to capital allocation which maybe takes me to your first question there, Ryan. Indeed I mean what we are seeing is a real focused and high bar for all capital allocation. We've been very clear. Our Northstar is free cash flow per share growth short term and long term, right? So that starts with making sure that the capital investment dollars that we are deploying today are going to earn us returns. You know our history. We've had some challenges in that space. This management team has said we are going to get on top of this and make this absolutely our focus and an area we want to improve, so that's what we're doing. Our organic spend indeed is coming down to below $22 billion. That's what we want. It's not too different by the way from previous years. But we want to continue to retain some flexibility to be able to capture those growth opportunities as they come. As we did recently with the 600 megawatt combined cycle gas turbine that you heard Sinead talk about in the video or for that matter as we did with Pavilion. So we want to create the space while still staying in control and continuing to manage. For next year the guidance hasn't changed. It's $22 billion to $25 billion dollars as we continue to be really purposeful in the way we are investing our organic capital and keeping the opportunities to create some option value for our shareholders.
Sinead Gorman: I think the only thing I would add Ryan is that this is what dynamic capital allocation looks like. We're investing for value whether it's to new opportunities or to share buybacks. Thank you.
Wael Sawan: Absolutely, thank you for that Sinead and Ryan thank you for the question. Luke, can we go to the next one please.
Operator: Our next caller is Lydia Rainforth from Barclays.
Lydia Rainforth: Thanks, and good afternoon both, and thanks for taking the questions. Two, if I could: The first one -- and this just is a little bit in memory -- but can you update us on the appeal and the high court ruling to cut Scope 3 emissions 45%? And when might we expect a decision from the court? Can you talk us through Shell's options in both the case that you lose the appeal and then, if you win, as well, where you think the outcomes are? And then, secondly, just on the LNG side, integrated gas: we certainly seem to be having less seasonality than we have seen before during 3Q. Is that something you think continues? And can you help us think about that LNG market into '25? Thanks.
Wael Sawan: Lydia thank you for those two questions can I start maybe with you Sinead on the second question I'll take the first question.
Sinead Gorman: Certainly and indeed Lydia I think you're spot on. We are seeing less seasonality coming through at the moment. It's definitely dampened what you would have seen that those changes between what would have been summer and winter and a lot more volatility because of that, what you now see is that volatility is out, because those temperature differences just aren't there in the same way. And we do think that that's probably going to play forward as well. That's what we see as well. That will play out of course in what you see across the market. You'll also see it in integrated gas results for us as well. And also linked to a little bit what I talked about earlier as well which was around just what do I see for Q4 whether it's the Pearl turnaround that will come through. It's also just that movement of cargos between this quarter and next quarter as well. So thank you.
Wael Sawan: Thank you for that Sinead. Lydia, on the MD appeal, of course the judgment comes out on November 12th. We continue to be confident in the strength of our case and our conviction that to truly get the impact that we hope for the energy transition on route to the net zero outcome that we all aspire to. This is not a matter to be held by the courts. It's best to be done by a government looking at the entire ecosystem and very much trying to drive the demand side rather than trying to manage one company on the supply side. Now, the court will decide. I think it's important to recognize November 12th is a waypoint. Because if I am to guess at the moment, I would say irrespective of what the judgment is, one of the two sides is going to appeal and take it to the Supreme Court. That could take years. And so where we are focused is on delivering our strategy. And our strategy is unchanged. We've talked about more value with less emissions. On that latter bit, less emissions, we are already moving at pace and with urgency. So we have already been able to reduce our methane emissions by 70% since 2016, our routine flaring by 90% since then. Our Scope 1 and 2 emissions are almost the most ambitious not just in our sector but arguably more broadly of any sector with a 50% reduction aspired to by 2030 and we're over 60% of the way there. And we have set Scope 3 emissions reduction targets which we are on track to meet both intensity and absolute. So we are unwavering in our commitment to continue to drive that more value with less emissions and look forward to seeing what that waypoint of November 12 looks with the confidence that we have that we have a strong case there. Thank you Lydia. Luke can we go to the next question please?
Operator: Our next caller is Biraj Borkhataria from Royal Bank of Canada.
Biraj Borkhataria: Hi, thanks for taking my questions. I just had a follow-up on the CapEx guidance. Last quarter I think I asked this question, but you mentioned you had a number of payments towards the end of this year, that's why you kept the guidance. So could you just let us know whether the part of the reduction today is just phasing into 2025 or is the overall spend plan down for that period for 2024-25? And then secondly I think just on the capital framework one of the things that does separate you from the peers is how strong the balance sheet is and obviously shows through in Slide 9 obviously the environment has turned more negative relative to the last couple of years and you have a substantial buyback program in place. So just wondering how you're thinking about where you want the balance sheet to be, because the balance sheet obviously affords you flexibility and optionality, at the same time your shares are cheap, so you it may make sense to keep up the purchases. So I just trying to get a sense of how you're thinking about those two competing factors? Thank you.
Wael Sawan: Thanks Biraj. Sinead you want to take both?
Sinead Gorman: Yes, happy to. On the first one on capital Biraj very simply, so in terms of for this year it is below $22 billion and that is simply decisions that we have made. Of course we have payments that will still go out in Q4 and those are there such as we just bought us the power plant, Rhode Island power plant et cetera with pavilion that still needs to complete whether it's now or into next year, will depend on the closing process. But indeed that's why we're keeping the outlook for next year of $22 billion to $25 billion as well. With respect to the balance sheet, you're right. We have an extremely strong balance sheet. And I've been consciously strengthening this balance sheet to position the company for exactly this to allow us to be able to perform and to be positioned in good times or bad times. And that's exactly where we're at. So it ensures frankly it doesn't matter whether we don't even just need to look through the quarter in terms of cash flows for distributions. We're able to look through the quarter as well in terms of the macro, and that's where our balance sheet allows us. And it just means that we're operating from a position of strength without a doubt. So take one of the previous quarters which was, sorry, one of the previous questions which was about next quarter where we were asked just what do you see coming through. And I've talked about the fact that we'll have a Pearl turn around. We'll have the normal payments that come through and we discussed all of those as well. The fact that we had actually this quarter we had some of the cargos from Q4 and integrated gas into Q3 as well. All of those things mean that I know what will come in Q4 including potentially some leases if we get LNG Canada, the pipeline in or not, whether we get pavilion closed or not, so the leases might go up as well. So, yes, my net debt might go up. But my balance sheet is so resilient that's what exactly what we've been working for. It means that we're operating from a position of confidence irrespective of the performance and irrespective of the macro. So we don't need to react in the short term, which is very, very helpful. Thank you.
Wael Sawan: Thanks Biraj for the question. Thanks Sinead. Luke, can we go to the next question please.
Operator: Our next caller is Alastair Syme from Citi.
Alastair Syme: Thanks Sinead and Wael. Can I just really one question. I mean as you look to make space in the capital budget. Can I really ask how you see the landscape for asset prices across the different parts of the business upstream downstream and transition? I mean normally I guess the best deals are done when sellers have a bit of stress. So are you seeing stress across these different parts of the system at any point? Thank you.
Wael Sawan: Alastair, thank you for that question. I think the frame of your question is a good one because I think it speaks to how we're thinking about this. We are trying to be as dynamic as we can be across these different parts of the energy system and we're trying to avoid dogma in that sense that we have to sort of buy in that particular strategic segment. Because the volatility and the uncertainty that we're saying and the realities that various companies are experiencing means that you will have opportunities and we just need to be able to move at pace to create value for opportunities. We want to be value hunters. And so we want to be patient and back to Sinead's earlier point around building the balance sheet and the strength and changing our diet to a lower organic capital diet affords us that optionality. So what do we see at the moment? I think undoubtedly the opportunities that we have seen in particular in the integrated gas space have been attractive in particular because we're finding that with the same portfolio given our trading capabilities we are simply able to create more value than others and that's giving us an alpha where we can actually find space with the potential seller and that's attractive and I suspect that plays longer term and something we continue to look at. Upstream I think we're at a more transactable price, but still every asset or every seller is in a different vantage point around what is the right price to transact at, different realities. We don't want to simply buy resource. We want to buy resource where we can unlock incremental value and contribute to our free cash flow per share. And so we're patient. We know that between now and 2030 we have a very good runway, great projects to be able to deliver and so we are waiting to see what the right points in that cycle are to be able to have these bolt-ons as we have tried to do to add to our current strength. I think in the downstream and renewable space it's fair to say that we've built and we've acquired some of the key platforms that we need, right? Nature energy was a core part of a broader fit that we needed as we looked at our integrated gas value chain for the future and wanted to be able to look at decarbonized options for that. So we don't need to buy more. We just need to be able to develop our current platform at the pace that the market allows. And that's why you see us just selectively investing in that space. In the marketing space in general we'll put small investments to for example augment our position in India around lubricants as we did recently, but we don't need to spend a lot of capital there. And so, really we're holding on to that capital making sure the bar is high between putting it into buybacks or putting it into the right long-term opportunities for us. Thank you very much for the question Alastair. Let me go back to Luke if we can go to the next question please.
Operator: Our next caller is Rodger Reed from Wells Fargo.
Rodger Reed: Yes, thank you. Good morning or good afternoon to you, I guess. I'd like to hit on two things. One is you think about the performance this quarter in the outlook in terms of cost controls or optimization, as was mentioned earlier, maybe a little more info on what you mean by optimization. We've heard about reducing headcount in the company and so forth, how that's maybe flowing through to this, that big question, number one. And then the other question, just anything else you can offer on the trading performance, given what was generally a relatively low volatility in terms of commodity prices, just maybe what drove the performance there? Thank you.
Wael Sawan: Thank you for that, Roger. Do you want to start with the second one?
Sinead Gorman: Sure. Yes, and thank you very much, Roger. And in terms of trading, indeed, it was a lower volatility than we've seen in previous quarters. What do we see play out across our portfolio? You normally see it between two areas, largely between our integrated gas business and then largely in terms of the products trading, crude and products trading there. On the integrated gas side, what we saw was pretty much the same as this previous quarter. So we had same as Q2. So basically, our traders had the ability to have a bit more length because they had more volumes. Some of those volumes have come from Q4 into Q3, but they were able to trade around it in quite a healthy price environment. And therefore, although there was some volatility, we did have some length and therefore we were able to equal out in terms of the performance Q2 versus Q3. Then if you look at crude and products or really the product side of things, of course, we did see that dampen significantly. And of course, that's about the availability of what's out there at the moment. But that showed in terms of our chemicals and products performance. And you saw it coming down versus Q2 as well. Thank you.
Wael Sawan: Roger, to your first question around cost optimization and the like. Let's start by saying, I've talked about in the past, the transformation of Shell. This is a multi-year journey. This is not a few quarters. But I'm very pleased with the momentum we have built. And while I can give you a long laundry list of the different elements of what's contributing to that, whether it's from portfolio activities, divestments, which, by the way don't even include Pakistan, which we announced today, nor Bukom Jurong in Singapore. All of those are yet to come in. There is a lot to do with, in particular, contractor headcount. But more importantly, it's the way we do work. I recognize you don't get to see what I'm seeing in terms of the activities happening in the organization. But what I can tell you is I have very high confidence that we are able to sustain these improvements for some time to come, because a lot of them will start to materialize in the coming quarters, in the coming years. And so for me, that is where the -- that is what truly a culture change is. Not trying to pull a couple of levers and hope it changes, but working through just the standards we use, deburecratizing, simplifying the organization, getting a lot clearer on what we're trying to achieve and aligning the organization in pursuit of that. And that's why when people say, why do you preferentially allocate capital towards buybacks? It's because of what we see. We see that runway of continuous improvement ahead of us, and that's what we are continuing to buy into. Thank you for that question, Roger. Luke, can we go to the next question, please?
Operator: Our next caller is Michele Della Vigna from Goldman Sachs.
Michele Della Vigna: Thank you and congratulations on the strong results. Two questions, if I may. The first one is on cost cutting. You are now effectively wrapping up the first year. You've made tremendous progress towards the $2 billion to $3 billion. I'm just wondering if you are starting to identify more opportunities as you go into the next phase of your efficiency program. And secondly, going back to exploration, you've had success in Namibia. I believe you probably looked into the Galp Energia, I believe you shared data with Total. So you probably have a very good understanding of that area. After everything that you've learned, I was just wondering how you're thinking about that region and your opportunity for growth there towards the end of this decade or the beginning of the next one? Thank you.
Wael Sawan: Yes, thanks, Michele. I'll go for the second one first, maybe, and then come back, and if you want to add to the cost-cutting discussion. I think, Michele, to Namibia, indeed, we are privileged in a new basin like that to have so many players and the ability to be able to learn from others. So we're not having to de-risk it on our own dime. We've already put quite a bit of capital for our own acreage, but of course we continue to learn from others and to continue to look at opportunities there. I think what is universally agreed is that there is a significant amount of resource there. That goes without saying. I think it would be fair. I don't know if that's universally agreed, but at least my strong perspective is it is very challenging acreage, in particular around the movability of the resource, the permeability and the like. And so a lot of our focus is on figuring out whether we can find ways to be able to develop commercially investable projects, because, as I said earlier, our bar is high for investments, and if it cannot pass water, then we're not going to invest in it. And that's what we're focused on right now. Just really understanding and learning from everything happening around us before we have to make a decision on the acreage. Suffice it to say at this stage that we haven't yet reached a conclusion on that, and we hope to be able to do so in the coming months. Sinead?
Sinead Gorman: Indeed, and thank you. And on the OpEx, I think, while you answered quite a lot about that previously, so just to add to that, there's quite a lot that, of course, has hit headlines, et cetera, that hasn't played through yet. So in terms of how confident are we on the $2 to $3 billion, I'd say, first and foremost, we set a target, we will deliver it. That's exactly what we're working towards. We're very much moving towards efficiencies rather than portfolio as being the largest share in terms of those numbers, and we are working to achieve that and very clearly on track to do so. I'll bring you back to Q2 when we talked about it in some detail and give an update. We were $1.7 billion at that point and, of course, we'll give you an update at the end of the year. And, of course, the next steps will come after completion of the first sprint, but we are definitely on track. Thank you.
Wael Sawan: Thanks, Sinead. Michele, thank you for the question. Luke, let's go to the next question, please.
Operator: Our next caller is Irene Himona from Bernstein.
Irene Himona: Thank you, and congratulations on another quarter of strong delivery. My first question, you've distributed 43% of CFFO in the past year. Your official range is 30 to 40, and you have the strongest balance sheet, as you mentioned, since the BG deal, plus the stock remains undervalued. So should we think of this as perhaps permanently moving to above your official range for the payout? And then, secondly, if you can perhaps share your views on the 2025 outlook for European gas and for your global LNG earnings? Thank you.
Wael Sawan: I'll start with the second one and then give Sinead the opportunity to reference the first one, Irene. Thank you for the question. I don't have a crystal ball. I mean, what we do see is continued uncertainty and volatility in the gas markets. It's fair to say that the prompt markets are looking tighter than maybe some envisaged, in particular because of the slippage of some of the major LNG developments that were due to come up in the U.S. We've seen some good buying this year at different points in the cycle, in particular China and India. European, in particular, industrial demand continues to be soft. But we are also seeing new buyers of LNG. Brazil, for example, demand has grown because of challenges with the hydro complex there. Egypt is importing. So, 2025 difficult to call in particular given the volatility and the geopolitical context. But I think it's fair to say that the market, at least for now, continues to show balance, at least through the next year on a physical basis. Having said that, I'll just reiterate a couple of points that Sinead has made. What we also see is that the nature of the seasonality that we had been used to in the past, we don't see as much going forward. It's also fair to say that the volatility that we have seen since 2022 isn't there. We're more in sort of the pre-2022 price normalized space. And so it's a different context, and we need to be able to adapt back to pre-2022 realities as a company. Sinead?
Sinead Gorman: Thanks, Irene. Indeed, and I'll keep it to a more the way we're thinking about it. This is about an and. That's really the way we're trying to process this. It's about being able to do CapEx both organic and inorganic and distribute above the range, exactly as you said, and strengthen the balance sheet, which is a wonderful place to be. So indeed, yes, we have continued to distribute above the range at the moment. So it's 30% to 40%, which was through the cycle, as you say. We are 12 quarters of distributions above $3 billion. And of course, you can look at what we've done in the past. So you asked me about what we're going to do in the future. I'll not go to the future. I'll ask you to look at our actions. What have we done? We've done 12 quarters now above $3 billion, and beyond that what we've also done is in times where we've had lower cash flows. You can go back to Q4 last year if you should go back there we had CFFO, which was slightly weaker. And of course, our net debt went up and still we did $3.5 billion of buybacks at the time. It is clear we are preferentially allocating to share buybacks. So have a look at what we've done in the past and use that as well. Thank you.
Wael Sawan: Great. Thank you, Sinead. Irene, thank you very much. Luke, let's go to the next question, please.
Operator: Our next caller is Giacomo Romeo from Jefferies.
Giacomo Romeo: Yes, thank you. Two questions for me. First one is, on the LNG market, you mentioned the contract you signed with BOTAS in Turkey. There have been some headlines suggesting that term pricing is coming down, particularly related to this agreement. Are you seeing a more challenging market in the third market? Second question I want to ask is, can you remind us where we stand in terms of the key hurdles to taking FID on the second phase of LNG Canada? And are you happy with the acreage you have around those assets? Would you be looking to add more acreage in the area?
Wael Sawan: Giacomo, thank you for that. I'll touch on both. I think on the LNG markets, you'll appreciate I won't be able to sort of disclose specific term prices. What I would say is, there is nothing that we're seeing at the moment that is different than previous cycles, where you see sometimes the pendulum swings towards buyers, sometimes towards sellers. And where we have always positioned ourselves is on both sides. Where we are a significant off-taker of volumes, we are a buyer. And of course, we are a significant seller, being one of the largest players in the market. And so, what we try to do as a company is not to worry about what we can't control, which is where the market fundamentals are. We can't control that. What we have control over, and that's where we want to focus, is on our ability to be able to have options to create value through what will inevitably be cycles. And that's what we're positioning for, and that's what we are trying to secure. Opening up an option like Turkey is very special for us, because it is one of the largest, of course, importers in Europe, and gives us another delivery point for our growing portfolio of LNG projects. On LNG Canada Phase 2, I think before I get into Phase 2, we need to be able to sort of continue to see the momentum on Phase 1, and that we're seeing. We're over 95% complete there. We have gas from the Coastal GasLink pipeline coming through to help with the commissioning of the systems. And we hope sort of by middle of next year to be able to see first cargos and the start of what will be an exciting project for us for the future. LNG Canada Phase 2, of course, the joint venture, which is an independent joint venture, will have to present their proposal to their shareholders. Of course, that has to be an investable opportunity. They are developing that, and in due course, they'll be able to put it forward for us to be able to reflect along with the other shareholders doing the same. In terms of acreage, we're very pleased with the position we have, which really gives us the option, not the obligation, the option to be able to either produce out of our existing acreage or to pull from third-party suppliers in ACO. That is the beauty of the position we have there. And that's one where we will continue to be able to look forward as we bring LNG Canada up to be able to optimize and to create value out of. Thank you very much, Giacomo. Luke, let's go to the next question, please.
Operator: Our next caller is Lucas Herrmann from BNP.
Lucas Herrmann: Thank you very much. As with the others, it's very encouraging to see the performance. A couple, if I might, we're into the fourth quarter. It's that time of year when we all start to speculate around dividend. I guess very frustratingly, your share price is the same level as it was a year ago. A year ago, you were very clear that the preference is very much for buyback. You held with the 4% growth in dividend. Would it be sensible to assume, and I know it's a board decision, but I guess it would be sensible to assume that that would be a practical approach this time as well. So question one is really around dividend and thinking and whether there's any change? And second, sorry, it's a little bit here to gain in part around LNG. Could you just remind me, where are we with venture and the volumes actually starting to flow to your business? This is kind of leaving aside the litigation if one can. But is there a point at which actually the 2 million that you were due should officially start? I know you bought, I can't say that because, well, for obvious reasons. But was there effectively a hard deadline? And sorry, just staying with volumes. Pavilion, the expectation is still that the trade will complete by the end of the year? Thank you.
Wael Sawan: Super. Thanks, Lucas. Do you want to start with the first one? I could take the second one.
Sinead Gorman: Yes, no, indeed on dividends. I think its interesting reflections to your right board decision, et cetera. Lucas, you knew exactly where I was going to go to on that one. Look, the position we're in is very clear. We have an amazing balance sheet, which has been consciously put in place to allow us to weather what comes at us, whether it's performance or whether it's macro, which gives us a differentiating factor without a diet. So then it comes down to how do we distribute around that? And as you say, we look to value. It's invest for value. It doesn't matter whether we're doing it towards new capital investments or whether it's in terms of buybacks or how do we distribute to the shareholders. It's just about the and around that and how we stick to value. So where are we? We've got share price, which has not reacted yet. So in terms of the share price is still undervalued as far as we are concerned and therefore great confidence in terms of the share buybacks. And you can look to what we've done before. We'll see what we do next year. That's always what we do. And we'll come back to you towards the end of the year or in our next Capital Markets Day. Thanks, Lucas.
Wael Sawan: Thanks, Sinead. Lucas, to your other two points. So very quickly, Pavilion going through the regulatory approval expected early next year. We've only really sort of, it takes some time to ramp up into our portfolio. So we really only think about true incremental value creation in the second half of next year is the way we think about it. On Venture Global, I've talked about it enough times. I wish I had something new to say on it other than it. Frustratingly, we have got no volumes against our term agreement, a term agreement, of course, which underpinned the financing for that project. We're going to go through the arbitration hearings this quarter from what I recall and then see where we go from there. But clearly a frustrating situation to be in. Lucas, thank you.
Operator: Our next caller is Matt Lofting from JP Morgan.
Matt Lofting: Hi, thanks for taking the questions and congratulations on a robust update, absolute and relative. It strikes me looking at the numbers that again this quarter, if we combine the upstream and integrated gas businesses, the aggregated numbers of the beaten consensus expectations, there's been several quarters in a row that has been the case now. Could you just talk a bit about sprint-related underlying benefits and deltas within those businesses and where you think you're creating the value that they should sustain 2025 plus? And then secondly, I think in Sinead's opening remarks, you mentioned the early stages that Shell is still in on the journey that it's on. Clearly, we could interpret that in a multi-year and possibly even multi-decade context in terms of the transition. But if we bring it back to the next 6, 12, 18 months, what are the big ticket milestones that you're looking at in an operational and fiscal sense? Thank you.
Wael Sawan: You want to take this?
Sinead Gorman: Happy to. Please feel free to add. So indeed, just looking at the context you're setting here, Matt, so indeed we have beaten consensus in terms of upstream and integrated gas. I would say there's a number of things there. First and foremost, it's about in terms of versus consensus. We saw more feed gas come in from Nigeria in our integrated gas business. And I alluded to it earlier as well that some cargoes also moved from Q4 into Q3. So that gave us a little bit of a lift in terms of IG. And in terms of upstream actually versus consensus, what we saw was of course production was up. Why was that up? That was up because of two things. One was getting up and running after hurricane season. So it's still going on, but it was less than we were expecting. And we were able to get the assets up and running. Amazing work from the team along the way. And also interestingly on maintenance. And I think that's just a fascinating one on maintenance. What we're seeing is the business, particularly in the Gulf of Mexico, being able in terms of maintenance to be able to reduce the time. And this isn't cutting work. This is about efficiency and focus. And that leads to your second question. So when we can get assets up and running 10 days shorter than they would have been in a previous maintenance round, that's an amazing amount of barrels that you get out there and be able to hit your bottom line. So what we're seeing is that sort of cultural change coming through where that accountability, where each and every person knows exactly what they do for the bottom line is flowing through to the bottom line results. So in terms of early stages, what does that mean? What am I saying there? We've started this journey. We are continuing to push it down at all levels of the organization and its coming bottoms up as well. We're seeing people get excited about this. We're seeing them understand what they can do and bring ideas to the fore. So do I see it continuing? Absolutely. I see it continuing to ramp up as we go through and we'll continue to update you. But first and foremost, let us deliver on Sprint 1 and we'll give you an update on that towards the end of the year. Thank you.
Wael Sawan: Great. Thank you very much, Sinead. Thank you, Matt. Can we go to the next question, please, Luke?
Operator: Our next caller is Doug Leggate from Wolfe Research.
Doug Leggate: Thank you. Good afternoon, everybody. Thanks for having me on. Wael, I wonder if I – I know you're going to do the Capital Markets Day next year and give us an update post for sprint, but I wonder if I could just press a little bit on the capital flexibility. Below $22 billion this year, clearly very impressive, but it seems that as a result of selective decisions largely pivoting away from renewables and energy solutions, why should we not expect that to continue or maybe to ask the question slightly differently? Is it possible that $22 billion to $25 billion stays in place, but the relative allocation of capital pivots back to some of the other businesses where you obviously have plenty of opportunities?
Wael Sawan: Doug, thank you very much for that. Let me – of course, without sort of getting into CMD '25, I think already with what we said in CMD '23, we can hopefully use that as a foundation for your question. We've been spending around the $20 billion mark organically, so we are not fundamentally changing the rhythm. What we're doing is we're trying to get more out of the capital that we are deploying. To some of the examples that Sinead gave earlier, this concept of just getting the brilliant basics, leveraging the capabilities in the organization to focus on more capital efficiency, being choiceful around what projects we go after and then just allowing the ones that don't work to stop. If I then reflect your characterization, I would characterize things differently. We have said as a company we are committed to the energy transition. We have also said we will play to our competitive strengths. So what you are actually seeing is indeed pulling back in certain areas like renewable generation, which we have now publicly said and in CMD '23 we're very clear on, we do not see ourselves as being advantaged in renewable generation to create material returns over others. And so you do see us stepping back from those areas where we have identified and we have learned, if I'm honest with you, that we do not have those advantages. We are, however, investing in other areas. This idea that capital should be a proxy to our commitment to the energy transition I think is flawed. We have invested $2 billion in nature energy. I do not plan to invest many more billions of dollars into biogas because we've acquired the platform. Now we need to make sure that we deliver value out of that platform before we earn the right to invest in anything more. And in these nascent businesses, platforms like that, the investment we are making in Heizen [ph] which is one of the biggest players in the world in biofuels, the investments we are making in EV. Yes, albeit in the focus markets where we see pathways towards profitability. So this is about really making sure that our energy transition, which indeed is going to be multi-decadal, is one that is planted on very solid foundations. And our job is to make sure that we can demonstrate those returns consistently and move at the pace and hopefully slightly ahead of what the transition happens. But it will require the right government policies. It will require customers leaning into this. And of course, it will require us to continue to drive down the cost of that delivered lower cost energy -- lower carbon energy. Doug, I hope that gives you a sense. The flexibility, of course, we will retain that as we really tighten on the organization and make sure that we are putting a high bar on value realization and being able to demonstrate proof points that link into the next level of investment. All, by the way, in the context of having to compare that to the option of a buyback, which, as you've heard us say time and time again, is a very attractive option. So we need to be able to make sure that we are looking at both and not become myopic and looking at just one. Thank you very much, Doug. Luke, let's go to the next question, please.
Operator: Our next caller is Kim Fustier from HSBC.
Kim Fustier: Hi, good afternoon. Thanks for taking my questions. I wanted to ask about Nigeria since the sale of the onto assets has been rejected by the authorities. How much due diligence do you feel you've done on the buyer? And what do you think the next steps are in the process? My second question is on power. You bought a CCGT plant in the U.S. this quarter. How much gas-fired capacity do you believe you ultimately need to underpin sales of non-intermittent clean power to your customers? Thank you.
Wael Sawan: Kim, thank you for those two questions. I'll take the first one and then hand over to you, Sinead. On Nigeria, as you're aware, we've done a lot of work on this transaction, working with the authorities to, in essence, be able to create a venture that outlives the current owner. As Renaissance, the acquiring consortium, will take the capabilities that we have developed and honed over decades to be able to do that. We have done extensive, extensive due diligence, and we have worked very clearly to be able to establish a transaction structure that allows us to leave with the confidence that what we expect to happen happens. Now, the application, of course, is with the regulator. It's not time-bound. The regulator can take time. We are continuing to address the regulator's questions. I won't comment further than that, other than to say that we continue to have confidence in our ability to be able to complete this transaction as we demonstrate to the regulator that we have complied with all their expectations.
Sinead Gorman: Thank you, Kim. Indeed, you refer back to the Rhode Island and CCGT, which we purchased this quarter. By the way, that is a plant that we already had off-take from, so it's very naturally linked to it. When we think about this, and Wael's already talked about the fact that we don't see renewable generation as being a differentiating capability, what we do see, though, on our side, of course, is the differentiation we have through our trading capabilities. So when we're looking at deploying capital, that high bar that we've talked about before, it really is there. So what we're looking at is in terms of the capacity or volume that we need. Now that will depend on which market we want to be in, so it's very much dependent on where it will be. You do see it in the U.S., of course, and you'll see it in a few other locations. You've seen Australia, and there's many more, but this is more about the off-take that we can get. In some cases, it's helpful for us to have the underlying asset and therefore be able to control the dispatch, but in many cases, it's pure and simple that third-party supply that we purchase, and of course, given our credit rating and our balance sheet, we're a very attractive customer or supplier to others as well. So this is about the link and the synergy between the underlying asset and fundamentally the trading capability, which is how we have a differentiation to others. Thanks, Kim.
Wael Sawan: Thank you, Sinead. Thank you, Kim. Luke, let's go to the next question, please.
Operator: Our next caller is Christopher Kuplent from Bank of America.
Christopher Kuplent: Thank you very much. I'll keep it very short. Just checking, Singapore is still held for sale. Can you comment a little bit around the tailwind you expect now that you've put through impairments on all those lovely items like depreciation and underlying OpEx, et cetera? And let's say, what is an underperforming division given the macro environment that we're in, right? So just wanted whether you can comment a little bit around those tailwinds and perhaps talk us through some of the other assets that you've mentioned are always on, let's say, the test block where you see more exciting tailwinds from underperformance, particularly thinking about your downstream positions? Thank you.
Wael Sawan: Thanks, Christopher. Do you want to take that?
Sinead Gorman: Yes, happy to. So a couple of things in there, Chris, as well. So Singapore, as you say, it is held for sale. We're in the middle of a turnaround at the moment. So teams very much focused on getting that over the line, of course, looking to be able to come back and say it's completed likely into the New Year, but very much focused on that. Taking chemicals and products, which is really what you're referring to, because we've talked about marketing and the very strong performance that we're seeing there. Great, I will just simply say great earnings this quarter in terms of over $1 billion for our marketing business. But let's talk about chemicals and products a little bit. So refining margins, of course, were down, not surprising, as you come out of maintenance season, as you know. So that is challenging, 28% down versus the previous quarter in terms of that and a bit of lower demand. On the chemical side, of course, it is a depressed market in terms of the margins. So what are we actually looking at there? Well, in terms of that, what we're seeing is that actually margin, that ICM is in the lower bound of 150, which is what we said at CMD. So that's at the lower end of it. So you need to remember that. So, and of course, Singapore will leave and that will change that number as well. So in terms of the portfolio, so we've got the external, so the macro in terms of the lower bound, we've got the portfolio in terms of Singapore, but also what we're doing in Europe, where we're looking to do economic optimization on specific units. So we're doing the self-help, we're making sure that we run things when it makes sense rather than anything else. And then, of course, there's Monaco. And in terms of Monaco, what are you seeing there? You saw Q1 basically being all about getting it up and running, Q2 about making sure it was operational and we could actually say that, Q3 being about making sure it's predictable and that we're getting more products coming through, and that's what will go on. This will be about reliability and getting those up and running. So you'll see that start to flow through the numbers as well. So that's really the chemicals and products side. So you can see we're really focused in on improving the rachi [ph] which is in our chemicals and products business. And of course, marketing, exactly the same thing. We're making sure that we get delivery in sites. So you've seen some of the tail coming off and while referenced earlier, Pakistan, et cetera. So that's some 400 sites that have left the portfolio, which were lower rachi in our portfolio. We're also very focused on cost and making sure we drive the business to deliver exactly what they should be doing from a competitive perspective out of the capital they've already employed. And then on the third side, of course, renewables. We've talked about generation. I think Wael said it very well about our renewable generation capacity and moving away from that more towards where we have really strong capabilities linked to trading, which will mean less capital employed in that as well. So I hope that gives you a bit of a bit of a feel for it, Chris.
Wael Sawan: Thanks, Sinead. And thank you for the question, Christopher. As you know, we're literally just passing the midway point of our Sprint. So still some way to go to be able to get to where we need to get to. Let's go to the next question. Please, Luke.
Operator: Our final caller today is Martijn Rats from Morgan Stanley.
Martijn Rats: Hi, hello. Well, look, most of the important questions have been asked, but there's one left that I'm somewhat intrigued about, which you could hope you could help me with. I noticed that refinery throughput was down about a hundred thousand barrels a day or so, quarter-on-quarter. And also the guidance for that line item for the fourth quarter doesn't imply much of a rebound to sort of suggest that the refinery utilization could sort of continue to tail off a little bit. I think many of us are trying to figure out sort of where exactly we are in terms of refining margins versus the level that would trigger economic run cuts. So I was wondering in that hundred thousand barrel a day reduction in refinery throughput, is there an element of economic run cuts in there or is it all just explained by maintenance and operational issues?
Wael Sawan: I'm happy to take that very quickly. So I think what you've seen, Martin, in the third quarter is a combination of things. The start of the quarter had softer than hoped for performance, particularly unplanned downtime, and then the latter part of it had quite a bit of maintenance. Actually, what you're seeing going into Q4 is some big turnarounds per NIS, for example, standing out as the biggest one, which would essentially flow through the entire quarter of Q4. So you are not seeing material run cuts as part of that refining guidance. It's much more the choices of when we want to be able to run our maintenance and turnarounds. Anything you want to add to that one, Sinead, before I close off?
Sinead Gorman: Go ahead.
Wael Sawan: And I'm sure, Martin, if you need, there's a sort of long list of where the other maintenance activities and turnaround activities are over the coming months in our refining footprint, including, for example, Bukom [ph] itself is going through one, Sarnia, Rhineland, in Germany, Norco in the U.S. So there's quite a bit of activity going as we speak.
Wael Sawan: Thank you very much for the question, Martin. Thank you, Luke, for helping me navigate the hour and thank you to all of you for your questions and for joining the call. As you've heard, we've delivered a strong quarter. We announced another $3.5 billion of share buybacks, which makes this 12 quarters in a row with announced buybacks of at least $3 billion. As we are building a track record of delivery and aiming to be the investment case through the energy transition. Wishing you all a very pleasant end of the week. Thank you for joining us.